Operator: Ladies and gentlemen, welcome to the Cognizant Technology Solutions' Second Quarter 2010 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to David Nelson, Vice President, Investor Relations and Treasury at Cognizant. Please go ahead, sir.
David Nelson: Thank you, and good morning, everyone. By now, you should have received a copy of the company's second quarter 2010 earnings release. If you have not, a copy is available on our website, cognizant.com. On today's call, we have Francisco D'Souza, President and Chief Executive Officer; and Gordon Coburn, Chief Financial and Operating Officer of Cognizant Technology. Before we begin, I would like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC. Today, we are coming to you from two continents. Gordon is here in New York, while Frank is joining us from our offices in London, where he's visiting with European clients and associates. I would now like to turn the call over to Francisco D'Souza.
Francisco D'Souza: Thank you, David, and good morning from London, everyone. Thank you for joining us today. I'm very pleased to report outstanding results for the second quarter of 2010. Results, which validate our view that Cognizant has emerged from the economic downturn stronger than we've ever been. The strategy of reinvestment, of which we've spoken to you in the past, has created meaningful differentiation in our business model. Throughout the recession, our commitment to continued investment in our business was unwavering in winning new clients and strengthening our client-facing teams and innovative new service capabilities in our infrastructure and importantly, in hiring and developing our team. The second quarter's results are a testament to the soundness of that approach. During the second quarter, Cognizant reached $1.1 billion in revenue, a sequential increase of 15% and an increase of 42% year-over-year. This marks Cognizant's first quarter exceeding $1 billion. That's a milestone of which our associates are particularly proud. Our exceptional growth in the second quarter was broad-based, with nearly every sector, service and the geography, exceeding our expectations. This was largely the result of a sustained surge in new discretionary projects that kept up during the quarter. Application development revenue, which is a good indicator of discretionary projects, grew 22% sequentially and 52% on the year. During the recession, our clients underinvested in technology. As this pent-up demand has released, we've been able to capture an outside share of it. And while we are not yet hearing from clients that everything is back to normal, clients do acknowledge that prudent investment in their businesses require to remain competitive in the face of the secular changes their industries are facing. Growth in Q2 was further accelerated by a small set of large ongoing M&A integration projects, in which we are playing a key role, although we do expect some of those projects to wind down for us in the back half of the year. And finally, regulatory changes such as HIPAA 5010 and ICD-10 in the U.S. healthcare industry continue to drive new projects for Cognizant. As the impact of the most recent U.S. regulatory reform in the financial services and healthcare industries is still being assessed, we continue to work closely with our clients to gauge the impact of these regulatory reforms on their businesses. We expect that this will not have a significant impact on our business this year, but rather might be growth drivers for 2011 and beyond. Geographically, we saw solid growth return to the markets in Europe. Our results in Q2 illustrates the differentiated position that we've been able to achieve in Europe as a result of our investments. In a notable achievement this quarter, EquaTerra, our leading independent sourcing advisory firm, ranked Cognizant first in customer satisfaction out of the 25 leading service providers in Europe, across both India-based providers and global multinational players. Cognizant was the only firm out of the 25 providers assessed that had no dissatisfied clients. Furthermore, Cognizant scored the highest in seven of the eight factors contributing to customer satisfaction, on which the study focused. Our Q2 financial results reflect the high degree of customer satisfaction. Overall, our European revenue grew 15% sequentially, but 20% after removing the currency effects. Our U.K. practice, in particular, saw company-leading growth of 22% on a reported basis, some of which was driven by the M&A integration activity, of which I've already spoken. One of the key elements of our differentiation in Europe had been our ability to build strong local teams in their respective countries in Europe and to couple those teams very tightly with our global delivery operations in order to give clients a strong local front-end capability, including language, with the benefits of the global delivery model, the best of both worlds in some senses. In Q2, we continue to deepen our front-end capabilities in continent Europe, with the acquisition of Galileo, a boutique firm focused on testing services in the French market. We are already seeing market opportunities in France to combine the Galileo front-end with our global testing practice, which, at over 12,000 associates, stands today as one of the single largest testing organizations in the world. As we reflect on our results for this and the past few quarters, it is clear that Cognizant is capturing an outside share of the market opportunity. We believe that this is a direct result of the differentiation that we have achieved in the business model, including our Cognizant Business Consulting team or CBC. For example, this year, our healthcare consulting team is engaged with five of our clients to assess the impact of ICD regulations on them. This has already led to our involvement in three large follow-on programs, two of which are in the remediation stage. Our CBC front-end will continue to differentiate us from our competition. In Q2, we continued investing in CBC through the acquisition of the global program management consulting firm, PIPC. As clients continue to adjust to the secular changes in their industries, we expect that we will see larger business transformation programs. Managing these programs require the unique skill set which PIPC bring to the table. The services they offer range from managing forced M&A integration through strategic software implementations and large-scale outsourcing programs. CIBC is already enhancing our capability to drive large complex transformation projects on a global basis. Given Q2's positive results and our outlook for 2010, we have increased our revenue guidance for 2010 to at least 36% growth or at least $4.46 billion for the year. Sequentially, we believe third quarter growth will be at least 6.3%. While increased guidance reflects optimism for the remainder of the year, there are a number of very real factors that are causing us to temper our outlook. First, part of the more modest growth is a result of the seasonality we traditionally see in our results. Although not as apparent during last year's recession, Q2 has historically been our strongest quarter. In addition, we continued to believe that the economic recovery is still tenuous. Despite positive messages from clients, macroeconomic indicators continue to tell a different story. A number of legislative initiatives in the U.S. and worldwide continue to create uncertainty and a mindset of risk aversion for our clients. While the European environment appears less uncertain than it did during our last earnings announcement, it is evident that recovery there will lag the U.S., particularly on the continent. Despite our strong growth in Europe during the second quarter, we expect a more tempered rate that is aligned with the messages from the macroeconomic indicators going forward. And finally, Cognizant would take steps during the back half of the year to ensure that we prudently manage our growth. While high growth is not new to us, as we've seen it throughout our history, the rate at which growth has accelerated over these past few quarters is extraordinary. In order to maintain our strong positioning while sustaining high levels of client satisfaction, we will make sure that our resources are allocated optimally, keeping in mind the best interest of our customers and our prospects. Over the coming quarters, we intend to focus sharply on ensuring that our attrition and our attention is unwaveringly focused on clients that represent solid long-term client opportunities for the company. With regard to our associates, we have always focused on building a team of the very best people. We believe that the Cognizant team, our access to the best talent from top universities, coupled with our unique culture and DNA, represent another aspect of differentiation for Cognizant. During the downturn, while competitors cut back or suspended hiring altogether, Cognizant continue to build strong relationships with universities and hire the exceptional talent that was available in the market. As a result of these efforts, Cognizant recently earned the top placement from a leading Indian business publication as a leading recruiter from premier technical schools and from premier business schools across industries. We think this speaks volumes, not only about the fact that Cognizant is a great place to work, but about the fact that Cognizant has the best talent for our clients. We will continue to focus on developing this incredibly talented team of people. As you'll notice in Q2, we were not immuned from the industry-wide problem of increased attrition. And while we fared better than most of our peers, we can do better. Our industry-leading growth provides our associates the best opportunities to build their careers. Over the next several quarters, they're going to take steps to ensure -- to step up our efforts and to ensure that these opportunities manifest themselves for our associates so that they continue to benefit from Cognizant's growth. Before I close my remarks and I hand out to Gordon, I'd like to briefly comment on what we're seeing in the business longer term. Over the last several quarters, we've told the story of how clients are facing, not only cyclical pressures, but secular ones as well, about how a new generation of workers and consumers, the Millennials, are shifting our supply is created and how demand is manifested, and about how a new generation of business models, virtualized and globalized, are changing how a work is getting done and how a new generation of technology is changing the IT landscape. During Q2, amidst the surge in discretionary spending, we see proof points of this story continuing to play out. As we have shared with you several years ago, we, at Cognizant, started moving our own business to cloud platforms and social technologies via Cognizant 2.0. We've experienced significant benefits from these new approaches. We're now seeing interest from clients with this approach in their own businesses. In the cloud world, you're all familiar with Software-as-a-Service and Infrastructure-as-a-Service. At Cognizant, we are pioneering the delivery of business processes and service for our clients, through which we can deliver process solutions to our clients in the cloud, leveraging a global workforce, which is tightly coordinated, not in a physical workspace, but in virtual workspaces, enabled by the business use of social computing. As an example, with a leading U.S.-based media firm, we are providing finance and accounting functions as a service. Now on the one hand, this may seem straightforward. Yet for this client, to take a well-understood process and not only make it more efficient, but also more effective through the innovations introduced by a globally-distributed and virtually-connected team provides a clear before-and-after picture on the improvements we can deliver through a new approach to work. We're implementing this approach across industries such as insurance, media, retail and travel, addressing such process areas as vendor management, maintenance and repair operations, production management, as well as finance and accounting. Our early clients are enthused with these efforts and tell us that this approach of infusing business processes with greater degrees of collaboration and virtualization represents a new way of working. It is, in some senses, the future of work. This demonstrates the story we believe would play out and the story that we planned for is coming to fruition. More importantly for us, it demonstrates that clients seek Cognizant as a credible source to help them, credible because of the insights and capabilities we bring, and credible because this next generation of work is what we live with every day. With an employee base comprised of significant number of Millennials that work everyday as part of global virtual teams, we know what success looks like, and clients are coming to us to hear this story. With that, let me hand it over to Gordon before we open up the call for questions. Gordon?
Gordon Coburn: Thank you, Francisco, and good morning to everyone. As Francisco mentioned, our strong revenue performance is broad-based with all of our major industry segments experiencing strong demand. During the second quarter, we experienced exceptional strength in our Financial Services segments, which includes our Practices and Insurance, Banking and Transaction Processing. This segment grew 18.1% on a sequential basis and 41.6% on a year-over-year basis. It represented 42.6% of revenue for the quarter. The current demand within financial services continues to be fairly broad-based across our client base. We are seeing continued focus on M&A integration work, as Francisco mentioned earlier, initiatives to drive cost efficiencies and operational effectiveness, projects related to regulatory compliance and risk management and very importantly, discretionary innovation initiatives to enhance competitive positioning. Healthcare continued its strong performance during the quarter, with 11.8% sequential growth and 38.1% growth compared to the second quarter of 2009. This segment represented 25.5% of revenues for the quarter. The sequential growth was driven largely by our healthcare insurance claims with some pickup in our Life Sciences segment over the last quarter. Demand within these clients was driven by data warehousing and analytics services to better understand and control medical costs, expansion of BPO services including claims, benefits, coding and enrollment and platform-modernization initiatives. Manufacturing, retail and logistics were also very strong during the quarter. This segment continued to build on the growth from the first quarter and from 2009, growing 17.3% sequentially and 53.4% on a year-over-year basis. It represented 18.4% of revenues for the quarter. Demand within this segment was driven by an increase in large-scale transformation and systems integration projects among our major manufacturing clients. For our retail clients, we have seen an increase in business transformation projects such as service platform development and multichannel expansion, especially in the e-commerce. In addition, we have seen an increased interest in customer segmentation initiatives. We refer to these as Know your Customer projects. Finally, this segment continues to benefit from the ramp-up of clients won in the past year. The remaining 13.5% of our revenues came primarily from other service-oriented industries of communications, entertainment, media and high-tech, which grew 10% sequentially and 39% year-over-year. For the quarter, application management represented 52% of revenues and grew 34.3% year-over-year and 9.7% sequentially. Application development was 48% of revenues and grew 52.3% year-over-year and a whopping 21.7% sequentially. The strength in application development was driven in part by pent-up demand resulting from clients having under-invested in their businesses during 2008 and 2009 due to the economic uncertainty. During the quarter, 78.6% of revenues came from clients in North America. Europe was 18.1% of total revenues, and 3.3% of revenues came from the Asia-Pacific, Middle Eastern and Latin American markets. On a reported basis, Europe grew 15.3% sequentially and 44.3% year-over-year. During the second quarter, European revenue was negatively impacted by approximately $8.7 million compared to the first quarter due to the weakening of European currencies in the quarter. On a constant-dollar basis, Europe grew 20.3% sequentially. Our Q2 acquisitions at PIPC consulting and Galileo contributed approximately $6.1 million of revenue towards our Q2 results. Pricing on a sequential basis was up slightly on site and down slightly offshore. Overall, pricing was essentially flat. We continue to have success in our pricing discussions with our existing client base and expect to see the benefits of these ongoing discussions over the coming quarters, as rate increases start to kick in. We had gross additions of 116 new clients during the second quarter. This included 54 additions through our acquisitions at PIPC and Galileo. We closed the quarter with 662 active customers. During the quarter, number of accounts, which we consider to be strategic, increased by six. This brings our total number of strategic accounts to 155. We continue to see a trend towards newer strategic accounts, embracing a wider range of Cognizant services at a early stage in the relationship. Turning to costs. On a GAAP basis, cost of revenues, exclusive of depreciation and amortization, was approximately $641 million for the quarter, and included approximately $3.4 million of stock-based compensation expense. The increase in cost of revenues is primarily due to additional technical staff, both on site and offshore, required to support our revenue growth. We increased our technical staff by close to 2,900 during the quarter, and ended the quarter with over 83,100 technical staff. Second quarter SG&A, including depreciation and amortization expense, was $258.2 million on a GAAP basis and included approximately $10.6 million of stock-based compensation expense. Our GAAP operating margin was 18.6% for the quarter, and our non-GAAP operating margin, which excludes stock-based compensation expense, was 19.9%, within our target range of 19% to 20%. The average rates for the rupee was 45.5 in the second quarter of 2010 versus 45.9 in the first quarter of 2010 and 48.7 in the second quarter of last year. $135 million of rupee-denominated operating expense cash flow hedges settled during the second quarter. This resulted in a $9.5 million gain, which was recognized in operating expenses. We currently have outstanding operating expense cash flow hedges with a notional value totaling over $2.2 billion, of which $330 million are scheduled to mature in the second half of 2010 with an average forward rate of 48.6. In addition, we have $780 million of contracts at an average rate of 48 scheduled to mature throughout 2011, as well as another $780 million at a rate of 48.1 scheduled to mature in 2012 and $330 million at a rate of 49.9 scheduled to mature in 2013. We had $6.5 million of interest income. In addition, we had a net loss of $4.4 million of other nonoperating expenses, which included $4.6 million of foreign exchange losses related to balance sheet measurements, primarily associated with the movement of the dollar versus the rupee, pound and euro, as well as certain balance sheet hedges. The remaining $200,000 in non-operating income included the mark-to-market requirements related to our Auction Rates Securities portfolio, which was liquidated at the end of the quarter. Our GAAP tax rate for the second quarter was 17.2%, above our original expectations, due primarily to the tax impact of our foreign exchange hedges, the geographic mix of our earnings and certain discreet items related to our ongoing operations recorded in the quarter. We expect the full year 2010 tax rate to be approximately 16.7%. This projected rate for the year does not take into account any future tax impact related to our foreign exchange hedge program. Turning to the balance sheet. Our balance sheet continues to strengthen and remains very healthy. We finished the quarter with approximately $1.65 billion of cash and investments, which was up approximately $81 million from Q1. During the second quarter, operating activities generated over $135 million of cash. Financing activities generated almost $30 million of cash comprised of the proceeds of our employee equity programs and related tax benefits, as well as our employee stock purchase program. We spent approximately $29 million for acquisitions and $42 million for capital expenditures during the quarter. As previously mentioned, for 2010, we expect to spend approximately $180 million in capital expenditures, the substantial majority of which will support another wave of facility expansion as we finish absorbing our last wave of construction. Based on our $933.7 million balance on June 30, we finished the quarter with a DSO, including unbilled receivables, of 76.9 days, up from 76.2 days in the first quarter. The unbilled portion of our Receivables portfolio was approximately $119.5 million at the end of the second quarter. The growth in our unbilled balance resulted in part from the strong growth in our development services, which represented approximately 70% of our unbilled AR balance. It's important to note approximately 60% of our second quarter unbilled balance was billed at the end of July. During the second quarter, 31.3% of our revenue came from fixed bid contracts, up slightly from the first quarter. Net headcount increased by close to 3,200 people during the second quarter, of which approximately 30% of the gross additions were hired directly from college and 70% were lateral hires of experienced IT professionals. We ended the quarter with approximately 88,700 employees globally. Similar to others in the industry, we experienced an increase in attrition during the second quarter. As we have discussed in the past, there is no consistent methodology in the way the industry reports attrition numbers. We have historically reported attrition by annualizing the turnover, which occurs within the quarter, both voluntary and involuntary. This number has increased sequentially to 20.7%. Much of the industry calculates turnover on a trailing 12-month basis. Calculated this way, which is consistent with the way others in the industry report attrition, our attrition was 15.6% during the quarter. It is also important to note that our attrition statistics include all departures, including BPO, including employees in our training program. We believe this pickup in attrition resulted from a rapid return to hiring by many of our competitors, combined with a cash up of pent-up demand from those who were considering departing during 2009 but were able to do so due to the economy. The attrition was primarily at the junior levels. We are very focused on addressing the spike in attrition. In addition to the obvious compensation adjustments that we discussed on last quarter's calls, we're also making it very clear to our associates, both in our employee communications and also in our actions that Cognizant's strong growth creates tremendous career opportunities for each of them. This includes implementing a record number of promotions over the last few months, which, on a percentage basis, was certainly industry-leading. In addition, we have redoubled our efforts on employee engagement, transparent communication, ensuring that we continue to force through the collaborative entrepreneurial culture, which our associates tells us a secret source at Cognizant, or what we simply refer to as the Cognizant DNA. Finally, we will certainly share the success of this year's performance with our employees through very strong, variable compensation payouts for the year. Due to the strong overall industry demand, we do not expect attrition to return to normalized levels overnight, and we are planning for that in our hiring plans. Due to our aggressive hiring in the fourth quarter of 2009 and the first quarter of this year, we were able to meet the starting requirements resulting from the surge in demand we experienced during the second quarter. This resulted in a significant increase in our utilization rates during the second quarter. Offshore utilization was approximately 73% during the quarter. Offshore utilization, excluding recent college graduates who were in our training program during the quarter, was approximately 82%. On-site utilization was approximately 93% for the quarter. At the end of the second quarter, we had over 6,900 unbilled people in our training program compared to 7,500 at the end of Q1. During the second quarter, utilization was higher than desired, and we plan to accelerate hiring in the back half of the year to ensure that we have the people in our pipeline to support long-term growth. I'd now like to comment on our growth expectations for Q3 and full year 2010. For the third quarter of 2010, we are projecting revenue of at least $1.175 billion. For full year 2010, we continue to expect industry-leading revenue growth. Based on current conditions and client indications, we've increased our guidance for revenue to at least $4.46 billion. This represents growth of at least 36%. Our guidance for the second half of the year reflects the wind down of some of the M&A integration work, which we have been doing, and the stabilization of pent-up discretionary development spend, from which we have recently benefited. As previously mentioned, during Q2, we met our target margins. And for the remainder of the year, we expect to operate within our target margin range of 19% to 20%, excluding stock-based compensation expense. Therefore, we are currently comfortable with our ability to deliver in Q3 GAAP EPS of $0.59 and non-GAAP EPS of $0.63, which excludes estimated stock-based compensation expense of $0.04. This guidance anticipates a Q3 share count of approximately 310 million shares and a tax rate of 17%. This guidance excludes any non-operating FX gains or losses. For the full year 2010, based on current business trends, we have increased our GAAP EPS guidance to at least $2.26, and we now expect full year non-GAAP EPS to be at least $2.42, excluding $0.16 of estimated full year stock-based compensation. This guidance anticipates a full year share count of approximately 309 million shares and a tax rate for the full year of 16.7%. This guidance excludes any future nonoperating FX gains and losses. We'd now like to open the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes the line of Tien-Tsin Huang of JPMorgan.
Tien-Tsin Huang - JP Morgan Chase & Co: I just want to ask about the revenue growth premiums. It looks like it's widening a little bit here, Frank and Gordon. I'm curious about some of the share gains that you're seeing. What are the key factors that are driving this kind of share growth? I'm curious if it's sustainable? Anything different or unique that you're seeing now?
Francisco D'Souza: Tien-Tsin, this is Frank. Look, I think we said for some time that what we're seeing in the marketplace is demand that's driven by two things: the cyclical pressure that our clients are facing, which drives efficiency and effectiveness; and the secular pressures that our clients are facing that require greater degrees of innovation, focus on top line growth, new business models that are increasingly globalized and virtualized. What's truly unique about what we built and what we've invested in Cognizant over many years now is the fact that we can equally address both of those sets of needs with our clients. We can help them drive efficiency and effectiveness on the cost side of the equation. But equally, when it comes to driving large-scale transformation, driving innovation for our clients drives top line growth for them, our consulting teams, our subject matter expertise, our large-scale program management, is very effective on that side of the equation. So when you put these two things together, it's the best of both worlds and some sense for our clients, because they can come to us to solve some of their cyclical challenges, the cost pressures they're facing, but they can also come to us when they need to talk about growth and driving top line. And we think that that's unique. We think that that's differentiated, and that's really the result of sustained investment over many years, as you know, in building out the capability in Cognizant.
Operator: Our next question comes from the line of Glenn Greene of OppenheimerFunds [Oppenheimer].
Glenn Greene - Oppenheimer & Co. Inc.: I just wanted to drill down a little bit on the application development sort of surge in the quarter. Gordon, for instance, is there any way you could give us some color across verticals? Clearly, it's pretty broad-based. But were there sort of any standouts, and what's really driving it?
Gordon Coburn: I just said it was broad-based, so we saw a surge in development across all of our industries. What drove it is a little bit different by industry. Certainly, in Financial Services, there's development work related to M&A and related to regulatory requirements. In areas such as retail, a lot of work on data warehousing, what we refer to as know-your-customer initiatives. A fair amount of regulatory work in healthcare. But I think the important part is we saw customers spend discretionary dollars, at least with Cognizant, on more than just costs savings initiatives, more than just required regulatory thing. We also saw clients spend discretionary dollars on true innovation, and that's the part that we're really excited about that. Rebound and spending on innovation happen much more quickly than we anticipated, and that was broad-based across our industry segments.
Operator: Your next question comes from the line of Rod Bourgeois of Bernstein.
Rod Bourgeois - Bernstein Research: Gordon, is there any way to quantify or have a guesstimation of how much of the growth came from pent-up demand? And then can you also specifically comment on the more recent trends in the pace of client decision making in Europe, and whether that's starting to slow at all versus where it was three months ago?
Gordon Coburn: Sure. Let me take the part on pent-up demand, and then Francisco, since he's over in New York, can answer the second part. We've tried, Rod, to figure out how much of it is pent-up demand versus business as normal, and it's impossible to get a specific number. But we clearly know a portion of it is pent-up demand, and what that results is more project starts than we would normally have. Now the projects that started will go on for a while, but the rate of project starts was really very strong in Q2, a combination of the normal stuff and stuff that clients wanted to do last year but had to wait to this year's budget cycle. So impossible to get a exact number, but certainly, it was a piece of it. And Francisco, you want to talk about the Europe piece?
Francisco D'Souza: Yes, I think if you look at our results in Q2 in Europe, as Gordon said during his comments, some portion of the strong growth that we saw in Europe was the result of some large-scale M&A programs we're involved with. That growth will not continue for the back half of the year. In fact, that will taper off and then start to decline as we go through the rest of 2010. But if you strip that out, as you know, as Gordon mentioned or David mentioned, I've been in Europe for a couple of weeks. I'll be here for another couple of weeks, spending the month with our clients and associates in Europe to get a better sense of the color of demand. And I think that Europe is going to continue to be lumpy for the rest of the year. While we're seeing pockets of strength, clearly on the continent in particular, the economic recovery is 10 years at best. Clients are cautious, and I think that while there is demand out there, we will continue to see some lumpiness in demand over the rest of the year, particularly in Europe and particularly on the continent.
Operator: Your next question comes from the line of Joseph Foresi of Janney Montgomery Scott.
Joseph Foresi - Janney Montgomery Scott LLC: Just kind of a follow-up on that question, and nice job here. On the annual guidance side, what have you built in as far as your expectation? I think you talked about Europe being lumpy. And maybe you could talk about what you built in on the pent-up demand side? Are we expecting a little bit of a slowdown in that front?
Gordon Coburn: Yes, on the pent-up demand, and I want to be very clear on this, is the rate at which new projects kick off. Clearly, we built in that will slow from Q2 levels. I don't think it'd be realistic that it could stay at Q2 levels. We built in that Europe will be stable, so we don't expect similar trends, with the exception of the M&A work. Some of that will wind down in the second half of the year. So the big assumption, and we firmly believe that is the right assumption, is that we will not see development grow at this pace that we saw in Q2 due to kickoffs. And quite honestly, I don't think we'd want too. I'm not sure it would be healthy for the business to keep growing at the pace we grew in the second quarter.
Joseph Foresi - Janney Montgomery Scott LLC: Is there any other change built in to annual guidance that you'd bring to light?
Gordon Coburn: No. Yes, we're still assuming that the economy remains lackluster, which I think is probably a accurate assumption. And obviously, Q2 had some more billing days, which helped sequential growth and had a little bit of acquisition revenue.
Operator: Your next question comes from the line of Adam Frisch of Morgan Stanley.
Adam Frisch - Morgan Stanley: The magnitude of the change in guidance suggests something happened in the quarter that was incremental to the trends we're seeing before. This is just more than basic blocking and tackling, and you guys doing the normal -- we just got lucky and we're good and all of those things combined. So wondering if there were any new wins or some large clients that consolidated their vendor list, or anything that's driving the step function? Because, Gordon, for you to raise guidance from 25% to 36-plus percent, that's not the normal couple of percent that we're used to seeing in the past, call it, six to eight quarters?
Francisco D'Souza: Adam, look, as we said, look, there was no one thing in the second quarter that drove the over performance. We benefited from a number of things that all came together in the second quarter. We saw this sustained surge in discretionary projects kicking off. Candidly, the strength of that surprised us. We had seen -- we talked about this during the last call, we've started to see some of that towards the end of the first quarter and early in the second quarter, but that trend accelerated. As we said, the M&A integration stuff kicked in and the ramp, and then of course, the regulatory changes, the HIPAA 5010, ICD-10, PEG stuff all came together. All of these things all came together in the second quarter, and that's why you see the growth was very, very broad-based across geographies, industries and service offerings. As we look forward, we think that we're taking a prudent view, a cautious view. We think that some of this surge in discretionary spending, the rate at which new projects will kick off, will clearly not be where it is in the past. But based on our current view, we feel that the at least 36% guidance that we provided is reasonable. I'll ask Gordon to give you some color on the guidance.
Gordon Coburn: And Adam, just one other thing. You can see in the second quarter one of the areas of exceptional performance was Financial Services. It grew 18% sequentially. We clearly were not expecting that, and that's being driven by a bunch of projects kicked off, there's a lot of M&A work going on. So if there was one single area that was the biggest surprise, I think it would have been Financial Services. We don't expect that sequential growth to continue that way. But obviously, what allows us to take our guidance way up for the year is, for the rest of the year, we're now working off of a new foundation for growth. So it's really the surge we had in Q2, has the follow-on impact to the full year. But as Francisco said, certainly, it was not one customer or one area, though BFS was the leader in driving the performance.
Adam Frisch - Morgan Stanley: If I could just follow up on that and just ask the duration of these projects, are they kind of three to six months and they're kind of on the shorter side, or do you expect them to extend several quarters?
Gordon Coburn: They're all over the place. The M&A stuff tends to be shorter term. But outside of M&A, this is stuff that's -- this is not one-quarter projects. So we don't have the issue of -- other than in M&A, we don't have issue of stuff rolling off. It's a question of how much new stuff starts.
Adam Frisch - Morgan Stanley: Gordon, you mentioned on your commentary, or maybe Frank it was you, that turnover was up. And you've had these problems before. But you haven't grown this fast since '06 when you were roughly a third of your size. So that's obviously saying a lot about what's going on with your business now. What kind of things though, if you remember few years ago, when turnover picked up, people got concerned, are you going to have enough people to manage the business and grow, and then the whole quality concerns came in. So if you could just bring in some color for us on how you expect to manage -- this is a great problem to have, obviously, but how are you going to manage this going forward to ensure that you have the people and the quality is still there so you can continue your growth trajectory with their clients?
Gordon Coburn: You're hitting a key point. Quality is essential. The whole business is word of mouth, so we are laser-focused on quality. We're in the fortunate position that we hired very aggressively in Q4 and Q1. I think we hired 16,000 people net in those two quarters. So it gave us the bench, certainly, to continue to maintain quality, meet customer requirements and absorb the attrition. I don't think the, obviously, the attrition is not a Cognizant-specific thing. You saw similar numbers once you get apples-to-apples basis across the industry. So it's not something that's unique to us, but we're being very proactive about it. We're making sure both that we hire in anticipation of attrition, and we're being very proactive in making sure that we address reason people might choose to leave. The unique differentiator we have is because of our growth rates, we can provide career opportunities that no one else can do while making the business model work. We promoted a much larger percentage of our people this year than our key competitors. Why? Because we're growing faster. Therefore, while maintaining the pyramid, more people can promote. So I think as we continue to outperform the industry, as our employees see that the strong revenue growth results in much better career opportunities for them than they can get at other places, I think that should result in us being able to address the attrition. But in the interim, because that takes a little time, we're making sure we're doing the right operational things to match the business. And that's a little more important for our recruiters, but I think we're fine.
Adam Frisch - Morgan Stanley: Is that growth though on the top line somewhat offset the wage pressure that you might be seeing if growth wasn't as robust as it is? So can that top line growth maybe hide some of the wage inflation that you might see just because of the magnitude of it?
Gordon Coburn: Think of it as the increase in utilization hides some of the impact of wage inflation. But the flip side is we took our variable compensation accruals up substantially this quarter because we expect to pay out very healthy bonuses to our employees because of the higher revenue growth, so you have some offsets there. But I'm not losing a lot of sleep over maintaining our margins. The wage inflation is done for the year. I don't expect any further wage inflation this year. And as I mentioned, while the rupee had weakened, we put in place a very aggressive hedging program going out several years. So we're feeling comfortable that our exposure to negative movements on the rupee would be quite minimal to us.
Operator: Your next question comes from the line of Karl Keirstead of Kaufman Bros.
Karl Keirstead - Kaufman Bros.: A question for Gordon about your gross margins. On the last call, you indicated that the 42% gross margins were largely as a result of the rupee pressure. But the rupee has reversed and obviously, it's a benefit and you had a big increase in utilization and yet the gross margins are still at 42%. So I guess, one, I'd love a little color on what perhaps the pressures might be. And secondly, as we model gross margins in the second half, should we assume they stay around this 42% level?
Gordon Coburn: Sure. The rupee actually has very little to do with it because we were hedged both in Q1 and Q2. So as the rupee moves, it doesn't have a whole lot of impact on our operating margin because it just changes the size of the gains and losses. The bigger factor here is utilization. We took utilization down quite substantially in Q1, and that obviously had a negative impact on gross margins. In Q2, utilization went back up, which is a good guys. But then we had two bad guys, one is wage inflation, and the other is we took our bonus accrual up.
Karl Keirstead - Kaufman Bros.: And in second half, Gordon?
Gordon Coburn: We just don't guide to gross margin. I would expect probably utilization to come back down a little bit in the second half of the year. As I mentioned, we're aggressively turning the hiring spigot back on because utilization got a little too high in Q2. But Q2 run rate, obviously, had a true up of the variable compensation, so we focus on running the business doing operating margin.
Karl Keirstead - Kaufman Bros.: You did mention, Gordon, that although I think you said on-site pricing points were up, that offshore was down. Just to be clear, is that because the '09 price discounts are still working through your average realized margins? Or were you referring to price points on new contracts offshore being slightly lower? Perhaps you could clarify?
Gordon Coburn: Sure. The answer is neither. The price I was referring to is our overall book of business. But what drove on-site being up a little bit, offshore being down a little bit, is largely the mix -- is the shift towards development, because there's a lot of testing activity in development offshore, which has a little bit lower price point but there's a lot of, obviously, design and front-end work for development on-site, which is at higher price points. So that's more due to the shift in business mix. The price increases are just starting to kick in because when you the discussions, it's usually a couple of months before it kicks in. So I think that's something that has more of an impact as we go through the remainder of the year.
Operator: Your next question comes from the line of James Friedman of Susquehanna.
James Friedman - Susquehanna Financial Group, LLLP: So I wanted to reference some of the discussion earlier with regard to the competitive environment. Are you seeing the industry run in lanes? Or is the outsized growth of the company this quarter a function of some competitive displacement? And maybe another way of asking, if you could share some color on the growth rates of the top five and top 10 customers, that's sort of the reciprocal of what I'm asking about.
Gordon Coburn: Yes, let me take the first part of that question. We clearly saw very healthy growth among our larger customers as they returned to development spending. As evidence of that, the revenue from our top five customers during the quarter increased sequentially. Let me just give you the number here -- increased to 18.7% from 17.6%. So what happened was our large customers have been working for a while, obviously did not do as much discretionary work last year. But as they returned to wanting to do discretionary activities because they know us, they know our capabilities and they understand the differentiators that Frank talked about earlier, we saw tremendous demand from our larger installed base to help them with innovation, virtualization and discretionary projects.
James Friedman - Susquehanna Financial Group, LLLP: And then I also wanted to ask, Gordon, if you had an updated view about CapEx for the year, given that growth has been so robust?
Gordon Coburn: Yes, it's very consistent with what we said last quarter. We expect $180 million, and a lot of that is going to go to construction. We've launched some new construction programs. Obviously, the buildings won't come online till next year, but we're spending the dollars now.
Operator: Your next question comes from the line of Nabil Elsheshai of Pacific Crest Securities.
Nabil Elsheshai - Pacific Crest Securities, Inc.: I was wondering, first, if you could comment on some of the newer service lines, how they performed in the quarter, BPO and the shared services business lines?
Francisco D'Souza: We continue to be very optimistic about the BPO and IT IS businesses. We had good growth in Q2 in those service lines, and we continue to sell aggressively, build pipeline of business and ramp up clients in those service lines. In addition to IT IS and BPO, as you know, we have launched new service offerings in the last six, nine months in the area of EMS, Engineering and Manufacturing Services, and Enterprise Analytics and those service offerings, although newer and of a much, much smaller base, are showing good traction. And we're optimistic that those will also continue to grow and over the coming quarters, become more substantial drivers of overall company growth.
Nabil Elsheshai - Pacific Crest Securities, Inc.: And then I think you mentioned in the past you're going to investigate the potential on the provider side of the healthcare with all the stuff that's going on with electronic health records and such. Is that an area of potential growth, and have you guys been investing in that?
Francisco D'Souza: We are cautiously moving into the healthcare provider space, but we think that it's a different -- a market that's highly fragmented. We have to pick our battles carefully there. There are some segments of the healthcare provider space that represent good opportunity for us, and then there are others that just, frankly, don't fit the Cognizant model. So we have actually started the process of moving into the healthcare provider space, but it's very early days at this point. And I don't expect that it will be a substantial portion of our revenue for several quarters.
Nabil Elsheshai - Pacific Crest Securities, Inc.: And then my last question, the sales and G&A, pretty big ramp from Q1 to Q2. How should we look at that going forward the rest of the year? Is that a run rate number that we should build off of, Gordon, or is there something more onetime in that number?
Gordon Coburn: No. Clearly, it's a run rate number you should build off of. What we've seen is the differentiation works. So building the domain expertise, building the relationship management, building out the countries, it's working. So we're going to keep investing in it. So I would clearly view that as the run rate to build off of.
Operator: Your next question comes from the line of Tim Fox of Deutsche Bank.
Tim Fox - Deutsche Bank AG: First question was around client additions. Even net of your inorganic client additions in the quarter is very strong. I was wondering if you could first comment on where you're seeing, from a vertical perspective, the bulk of these new client additions? And then secondly, on strategic clients, you've historically been able to grow the revenue penetration there pretty substantially. With all the new offerings you have, could we actually see an acceleration in the revenue contribution per client in that strategic client group?
Gordon Coburn: Sure. The number of new clients, once you pull out the acquisitions, was about 60 gross. I don't think it was really specialized by industry or geography. I'd be a little careful with that numbers. Some of those are small clients related to our IT IS business. I always encourage people to focus more on the strategic clients. But clearly, we're winning business. We're winning it across all of the industries. It's not concentrated in any single industry. And I apologize, what was the second part of the question?
Tim Fox - Deutsche Bank AG: It was around that strategic client business. You've historically been able to grow the penetration there at a nice sequential rate, at least according to our analysis. And I just was wondering, are you foreseeing an increase or an acceleration in the per strategic client kind of revenue as you start to drill in to the BPO, IT IS and other engineering services?
Francisco D'Souza: Certainly, that's a trend that we've been seeing for a number of years now actually. As we have introduce new service offerings and increase what we think of as a circle of services that we offer to clients, every time we do that, the slice of a client's budget that we can compete for increases the pie, the overall pie increases. So our ability to drive deeper penetration into our existing client base is significantly increased. We certainly think that BPO and IT IS represent great opportunities to take back to our existing client base. Engineering and manufacturing services, obviously, apply to a more limited portion of our client base. It's obviously not relevant to the Financial Services clients, and to some extent, not relevant to healthcare, although pharmaceutical clients do, obviously, have big manufacturing operations. So we clearly expect that we will drive growth from our existing clients by taking them a new set of services. But all of this, of course, is predicated on the fact that we have very, very deep client relationships. As I mentioned in my comments, this quarter, we had this very unprecedented study done by EquaTerra where for clients in Europe they surveyed. I think it was about 2,000 clients and across 25 different providers, including the global multi-nationals and the India players. But through all of that, we were the only provider, the only provider, of these 25 providers that had no dissatisfied clients at all. And so that I think is a testament of the strength of the relationships we have in Europe and similarly across the world, which is what allows us to have the dialog with clients around deepening our relationship with these new service offerings. So clearly, that's the key part of how we'll grow going forward.
Tim Fox - Deutsche Bank AG: And Gordon, any updated thoughts on 2011 tax rates, given what's going on in the political situation in India?
Gordon Coburn: Sure. It's still very much a work in progress, but it appears that the STPI will go away. And also, it's looking more and more like the go-to-a-direct tax structure with the Corporate being at 25%, and that we'll have protection on the Special Economic Zones. If all those things happen, and I want to be really clear, it's not done yet. It's not the law yet. But if those things happen, that would probably put our tax rate somewhere between 22% and 25%.
Operator: Your next question comes from the line of Ed Caso of Wells Fargo.
Edward Caso - Wells Fargo Securities, LLC: I was curious if you're seeing any work opportunity from large outsourcing deals that are coming up for re-compete that are now being split into smaller pieces, in other words, they're not going for everything with the big global firms, where you're able to get a piece of that app dev or app maintenance or testing or whatever?
Francisco D'Souza: We've seen that in one or two instances, where these large deals are coming up for re-competes and the clients decided to take a best-of-breed approach. But I don't think we are seeing it so frequently that I would yet be comfortable saying that it's a trend or it's something that I would say we can build a strategy around. We're clearly seeing some of those situations in our pipeline and what we've competed for over the last few quarters, but I'm not comfortable yet saying it's a trend.
Edward Caso - Wells Fargo Securities, LLC: On the attrition, I was curious, and I know you probably can't do this, but a break-up between the pent up aspect of your attrition and the sort of the competitive coaching and then maybe the go-back-to-school pieces, if you can kind of split that 20% up between those three categories.
Gordon Coburn: It's impossible to do it accurately, but I would say more of it's related to the increased hiring across the industry. The smaller piece of it is pent-up demand.
Operator: Your final question comes the line of Mayank Tandon of Signal Hill.
Mayank Tandon - Signal Hill Capital Group LLC: I wanted to just ask you a little bit more about revenue growth. Does this change your thought process on next year's growth? I know you won't give guidance. But just in terms of -- does pent-up demand start to fade out and then we get back to a more normalized growth rate, how do you think about next year and the year after that?
Francisco D'Souza: I will let Gordon to jump in here as well. But really, from my perspective, it's really early to tell, frankly. Until we get through client budget cycles, which will happen Q3, Q4 and into Q1, it's really hard to understand what clients are going to be planning for, for next year. We'll start to get some sense of it in Q4. I would say, those clients start to go through their first cycle of the budgets. But at this point, I think it's just very hard to understand where -- I think the key variable is going to be what is the rate at which clients invest in discretionaries that are growth-oriented projects, and I just don't know the answer to that. Gordon?
Gordon Coburn: Yes, I think that's right. And the good news is everything we're seeing at this stage and hearing from clients is it will be a normal budget calendar this year. So hopefully, we should be able to get a sense on the normal schedule. But I think Frank is absolutely right. Until we sit down with our clients, and we have very open discussions with our clients about what their plans are, at that point, we'll have a better sense of revenue for next year.
Mayank Tandon - Signal Hill Capital Group LLC: So just to be clear, the pent-up demand could still continue though the next several quarters? I mean, that's something you're not discounting at all?
Gordon Coburn: No. I think a lot of the pent-up demand has flushed through the system at this point. The rate at which new discretionary projects start in Q2, I do not think is sustainable. I'd be very surprised if they continued at that pace in the second half of the year. We'll certainly continue to have growth. But the Q2 was unique, and that was normal growth plus starting up projects that people wanted to start last year.
Francisco D'Souza: Yes, there's a subtle distance there, a subtle distinction that needs to be made, right? In Q2, we saw the kick off of a number of discretionary initiatives. And those obviously have a life, that will continue -- they will continue through the life. What we're saying is that we don't think that new projects, in addition to the ones that have already kicked off in Q2, that the rate at which those will kick off in Q3 and Q4 will be quite as strong as it was in Q2. So hopefully, that gives you some color.
Mayank Tandon - Signal Hill Capital Group LLC: That's helpful, Frank. Just one final question, Gordon, what was the gross hiring number in the quarter, if you didn't give it already?
Gordon Coburn: The gross -- give me one second. The gross hiring was about 7,600 people.
Francisco D'Souza: Thanks, everyone. Listen, we're a couple minutes over, so let me just wrap up by thanking all of you for joining us on the call today. We appreciate the opportunity to explain the factors behind our record quarter and our raised outlook, and we're pleased with our Q2 results. We're confident that we're sharply differentiated and we're well positioned in the marketplace, and we look forward to speaking with you again next quarter. Thanks.
Operator: Ladies and gentlemen, thank you for participating in today's Cognizant Technology Solutions' Second Quarter 2010 Earnings Conference Call. You may now disconnect.